Operator: Ladies and gentlemen, welcome to the Hensoldt AG H1 Results 2025 Analyst Conference Call. I am Hillie, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Veronika Endres, Head of Investor Relations. Please go ahead.
Veronika Endres: Good afternoon, everybody, and a warm welcome to Hensoldt H1 2025 Results Call. Thank you all for joining us today. I'm Veronika Endres, Head of Investor Relations at Hensoldt. And with me are our CEO, Oliver Dorre; and our CFO, Christian Ladurner. Oliver and Christian will guide you through this presentation today, which will be followed by a Q&A session. And with that, over to you, Oliver.
Oliver Dorre: Well, thank you very much, Veronika, and a very warm welcome to all our investors and the analysts following Hensoldt. It's really great to have you with us today. I'd like to start with a quick snapshot of where we stand on the 4 axes of our North Star strategy. Overall, we are progressing strongly. The 8 major transformation programs steered by our group transformation office are advancing as planned and already making an impact. Let's begin with grow with focus. We have essentially completed the sales transformation. Resources and priorities are now fully aligned with our strategic goals. Germany is and will remain our anchor customer, forming the foundation of our business supported by Europe and selected international markets. We are appointing our first key account leads, embedding customer centricity even deeper into our organization. Going forward, it's not just about selling, it's about serving our customers better than anyone else. On deliver at scale, this has become a clear imperative, underscored by the recent statements from Chancellor Merz and Defense Minister Pistorius. I will elaborate on this shortly, but one thing is clear, the chimneys at our factories are smoking. We have stabilized the operation of our new logistics center and are systematically clearing production backlogs, running electronics production in 2 shifts and logistics in 3. The move to our Oberkochen site is well underway and on schedule. On pioneering software-defined defense, I'm pleased to announce that Sven Heursch joins Hensoldt tomorrow as our new Head of SDD and Digitalization. As a former German Air Force Officer, Sven brings deep operational expertise that will significantly accelerate our progress here. Finally, on culture, which is crucial as we grow, I left our recent leadership team meeting inspired and proud. Among our top 80 leaders, there is no strong shared determination to take Hensoldt to the next level together. Turning to the geopolitical landscape. The NATO Summit in June reaffirmed what we expected. Despite doubts earlier this year, the alliance is united and determined. There is a broad consensus that defense spending must reach 3.5% of GDP and NATO is clearly preparing for the possibility of conflict with a peer adversary. From where I stand, it's evident that Germany is stepping into its role as the frontrunner of NATO's European pillar with far-reaching implications. The sharp increase in Germany defense budget will set procurement benchmarks for Europe and drive a de facto consolidation in our industry. With our deep roots in Germany and unmatched customer intimacy, Hensoldt is ideally positioned to play a central role in this development. You may recall this time line from our Q1 call. And since then, our confidence has only grown that Germany's 2025 defense budget will be approved right after the summer break. The government's Eckwertepapier, the cornerstones of the budget, are already outlined and they set clear priorities. We expect OEM level orders to start arriving by the end of this year. And with the usual downflow, these will start appearing in our order book no later than mid-2026. Here, you see the trajectory of Germany's defense budget over the next 5 years. It will more than double, reaching 3.5% of GDP, about EUR 160 billion, including support for Ukraine by 2029. To put it plainly, while others are still reading the timetable, Germany's train has already left the station and it's picking up speed. Importantly, it's not just about more money, it's about focus and purpose. Chancellor Merz has promised to build the strongest conventional army in Europe, and procurement reflects that ambition. We see a dual approach. On one side, a massive ramp-up of conventional capabilities with, for example, armored vehicles orders reaching 5-digit numbers through high-volume frame contracts. On the other, increasing investment in technological sovereignty with significant R&D spend on advanced capabilities. As a high-tech solution provider, Hensoldt is perfectly positioned to benefit from both trends. Looking at our order intake in H1 2025, Eurofighter and TRML-4D once again drove sales to a strong EUR 1.5 billion, lifting our order backlog to a record of EUR 7 billion. We are particularly proud that Ukraine will soon receive an enhanced TRML-4D capable of detecting enemy artillery and mortar sites, proof of how our software-driven products can deliver new functionality rapidly. The outlook for the second half of the year remains bright, and we see the strong momentum continuing for the rest of 2025 with a series of key orders on the horizon. We expect major contracts across air defense radars, Eurofighter programs, ground-based systems and sustainment projects like the German P8 Poseidon. Notably, we anticipate orders exceeding EUR 500 million for optronics and self-protection systems for platforms such as the new reconnaissance vehicle Korsak, Leopard 2 tank, and Boxer RCT30. Our radars continue to sell exceptionally well with additional orders for TML-4D and Spexer coming up. New projects for the Eurofighter and Algeria's border surveillance will further contribute significantly. Finally, a quick outlook at how we are ramping up capacity. Since 2022, we have been expanding production capacity through continuous improvement, automation and outsourcing, integrated into our annual CapEx. This, of course, will continue. Our new logistics center and the Oberkochen move are transformative, laying the foundation for scale, efficiency and profitability. Thanks to these initiatives, we have sufficient capacity for the next 2 to 3 years. But with the German defense budget rising and visibility on future orders improving, we are preparing a step change in our operations, fundamentally transforming our industrial system to ensure scalability, resilience and customer service excellence. And with this view, what lies ahead, I'll now hand over to Christian for a closer look at the numbers, and thank you very much.
Christian Ladurner: Yes. Thank you very much, Oliver, and I'm now happy to provide you with our financials for the first half of 2025. Once again, we achieved a solid top line performance in the first 6 months. Order intake developed as planned with orders totaling EUR 1.4 billion. Oliver has already elaborated on the main drivers. Group revenue increased by 11% to EUR 944 million and was driven by sustained strong momentum of our Optronics business. Revenues in the Sensors segment were solid despite anticipated slower start caused by the ramp-up of the new logistics center, particularly in Q1. The level of pass-through revenue further declined in line with our expectations. Excluding pass-through, our core revenue grew strongly by 14%. With a book-to-bill of 1.5x, our order backlog reached a new record level, exceeding EUR 7 billion for the first time, providing us with an excellent visibility. The bottom line met our expectations, too. Adjusted EBITDA increased EUR 107 million with an adjusted EBITDA margin of 11.3%. The development was driven by product mix effects as well as the ramp-up of our new logistics center, which led to a temporary lower productivity within the Sensors segment. These impacts on margin from the logistical ramp-up have eased in Q2 and will further dilute as the year progresses. In addition, we are seeing the realization of cost and revenue synergies from the ESG acquisition, which are beginning to contribute to our operational performance. Adjusted EBIT was impacted similarly by these effects, amounting to EUR 49 million in H1 2025. Cash flow followed our usual seasonal profile with an adjusted free cash flow of minus EUR 181 million. The development was driven by investments in our working capital to manage the planned business volume in the second half of the year. To conclude, our bottom line performed in line with our expectations and is set to gain further momentum as the year progresses. Let's now have a look at our segments. In the Sensors segment, we achieved a solid order intake of nearly EUR 1.3 billion, on par with previous year's high comparison base. This corresponds to a book-to-bill of 1.5x. Revenue in the Sensors segment increased to EUR 817 million. Despite the slower start in our radar production, revenue performance was solid and in line with our expectations. Excluding the decline in share of pass revenue, Sensors core revenue increased by 13%. Adjusted EBITDA in Sensors amounted to EUR 105 million. Besides product mix effects, the margin development reflected the lower productivity in the Sensors segment due to the ramp-up of the logistics center. As mentioned, the temporary effects from the logistics ramp-up are expected to further dilute during this year. Optronics achieved a strong order intake with orders summing up to EUR 164 million. This was primarily driven by sites for ground- based systems as well as self-protection systems. Revenue performance in Optronics was excellent, continuing the momentum from the previous quarters. This was boosted by the sustained strong performance of the German entity, which realized revenue growth of 28% in H1. Main driver was accelerated production in ground-based systems. As shown in light green on the slide, the South African entity achieved modest growth in order intake. Revenue development, however, continued to reflect the effects from the ongoing technology change and strategic realignment. In terms of margins, Optronics continued to show a strong improvement compared to prior year. This was driven by our volumes in the German units, supported by lower OpEx. Also, the South African business was still impacted by lower volumes, the action plan we have implemented continue to show results. Overall, Optronics realized an adjusted EBITDA of EUR 1 million. As announced last week, Hensoldt has now successfully issued its promissory note loan. By replacing the previous bridge facility, we have reached the final milestone in establishing our long-term financing strategy. With the placement, we took advantage of the new funding channels unlocked by our recent refinancing, and the result speaks for itself. The significantly oversubscribed placement attracted a broad base of investors, and we secured EUR 300 million at the lower end of the pricing range. With our comprehensive refinancing now complete, we have significantly strengthened our capital structure, gaining higher financial flexibility, reducing costs and achieving greater independence through a diversified debt profile. At the same time, we remain committed to our disciplined deleveraging path, confirming a leverage of around 1.5x for this year. With this solid financial framework in place, let me now come to the guidance for the fiscal year 2025. First and foremost, we are fully on track to achieve our 2025 targets and hereby reaffirm the guidance we published in February. We continue to anticipate strong order intake in 2025 with a book-to-bill ratio of approximately 1.2x. As Oliver highlighted earlier, we expect strong additional demand driven by the increased defense budget. While we currently foresee most of these orders being placed in 2026 or beyond, there is potential for some contracts to be awarded earlier, which could provide further tailwind to order intake and book-to-bill ratio. However, as of today, there are still uncertainties around the order flow and exact timing. We expect to gain more clarity on these issues after the German budget is approved in September, followed shortly by parliamentary approvals for defense procurement projects. As outlined in February, we expect revenue in a corridor between EUR 2.5 billion and EUR 2.6 billion. That said, the rollout of our 2 transformation programs, the new logistics center on the one hand and the new site, Oberkochen, on the other may temporarily slightly moderate the pace of growth, resulting in revenue being towards the low end of our guidance range. These initiatives are strategic investments in our long-term competitiveness and operational efficiency. While they may slightly impact short-term top line performance, they are key to drive sustainable growth over time. We forecast an adjusted EBITDA margin of around 18%. And for our free cash flow, we expect continued strong performance with a cash conversion target of approximately 50% to 60%. Net leverage is expected to remain stable to around 1.5x, reflecting our mentioned disciplined financial management. Finally, our dividend payout ratio will continue to be in the range of 30% to 40% of adjusted net income and in line with our commitment to shareholder returns. Coming to a conclusion, let me mention the following key takeaways. The ever-increasing demand for our products and solutions is reflected in the substantial order intake across all Hensoldt divisions. Our order book exceeding EUR 7 billion for the first time, a great milestone achievement that continues to provide further excellent visibility for the years to come. Paired with solid revenue performance, we're confirming our growth trajectory and guidance for full year 2025. Our outlook remains promising, and we are strongly positioned for the upcoming growth. Germany is taking the leadership role for defense in Europe, and Hensoldt has the right strategy, the right products and the capacities to play a major role in upcoming German and European procurement programs, and we expect to have high visibility on additional orders towards the end of this year. Based on the planning security, we are ready to take strategic investments to secure long-term success. Thank you very much. And with that, we are now happy to open the floor to your questions.
Operator: [Operator Instructions] The first question comes from the line of Sebastian Growe, BNP Paribas.
Sebastian Growe: The first one would be just to pull check post the NATO Summit in June. So with the quarter 1 results in May, you had raised the 2030 sales goal to EUR 6 billion, and that was based on a 2.5% related GDP defense spending. So in the meantime, and as you also mentioned yourself, apparently, we had NATO agreeing upon 3.5%. We had Germany forging ahead with the 3.5% by '29 already. And also your pipeline, for instance, for the TRML-4D radars keeps selling every quarter. So how might the recent changes impact your business and midterm plan? And if we could start there, please.
Oliver Dorre: Yes. Thank you very much, Sebastian. This is Oliver speaking. Indeed, and I think we stay to the reasoning that we put on place when we raised it to EUR 6 billion. Indeed, I see that the confidence is progressively improving on really those orders coming in. But still, we are in the dynamics on putting all these order offers with the customers. And as Christian and I have outlined in the presentation, based on the confirmation of the annual budget in parliament in September, that's the planning for 2025. And then the budget for the years to come, which will be '26 forward then in November, I think that is about the time when we have the visibility to, of course, reevaluate this 2030 ambition. Again, yet, a very promising, confident-raising discussion. But as a matter of fact, we stick to our conservative approach. It's discussions and not yet in writing. Once it is in writing, of course, as we announced many times, we will revisit our future guidance and this ambition.
Sebastian Growe: That's understandable on one side. And maybe can you, however, shed some light around you have seen more especially also outside German interest in the meantime? Or how is the regional overall pipeline discussion unfolded?
Oliver Dorre: Well, very clearly, Sebastian, and I think Christian outlined it, the focus at the moment -- I mean, all this growth, all this market potential is developing really well. Our focus as a management at the moment is really to set the prerequisite that we can digest these massive orders, which we expect from the market. So it's really about our production, about our infrastructure and all of what we have in place. So the past weeks, we have started, as Christian outlined, Operations 2.0 to really look at the next step. Still, of course, not being under pressure because with the recent investments since 2022, the EUR 1 billion, we're well positioned for '26, '27. But as you say, I mean, the past 3 months, the market demand, especially Germany has developed significantly, especially on land systems. We see the next Eurofighters under discussion, and that is not only Germany, I think Europe, the same. However, the maturity level in Europe is a different one. I mean, here in Europe, some of the nations funding their defense spend are looking on loans. That is what we hear in the news. And so I would see that Europe part comes a bit later, which perfectly matches also our planning as at the moment, we are working with our teams to prepare the planning for the years 2026 following. More concretely, we see first the initiative of Minister Pistorius that Germany is really pushing for framework contracts, also offering other nations to join. So one example is the Leopard tanks, where at the moment, on top of the 103 German tanks, we see the Netherlands, Hungary, other nations coming up to see that they want to join these frameworks. Same applies for air defense. Probably you saw the news that BAAINBw is facilitating contracts for Denmark, joining ESSI now. So for sure, especially in ESSI, we see a lot of momentum. You have might also read the news that deal has negotiated with Switzerland, with Sweden and then Denmark. So all of this, of course, will be down flowing to us. Next part is Pegasus. You know on Pegasus, which is really also progressing on project level. We have passed the CDR in June for the payload. And also here, we see now with the U.S. assets probably being not that available anymore as in the past, that those strategic assets like second aircraft are addressed. So far, the demand came rather from rest of world, far countries, but now we see a massive demand coming up in Europe. So maybe that's 3 examples. And hopefully, with that, Sebastian, I answered your question.
Sebastian Growe: It does. If I may just quickly come back to the quarter 2 or H1 performance, and let me start on the Sensors segment. You pointed earlier on to the revenue and cost synergies that we have seen with ESG. Can you quantify what the overall impact of ESG was in the second quarter because I'm apparently also interested in the underlying development in the core business?
Christian Ladurner: Yes, Sebastian, thanks for this question. I think let's be clear, I think it's absolutely fair to separate Q1 because technically, we accounted this last -- this year, which we did not do for last year. But when we come to Q2, I have to say this business is more and more integrated. It's part of the multi-domain solutions business. And we see the synergies coming up. But when I especially look at cost synergies, these are only possible because it's now one group and also in terms of 2 or 3 concrete programs such as counter US tariffs, we see this is only possible within the group. So it does not make sense for me to really outline this Q2. It would not create a solid picture. So this is why I see Q1 sensefully showing separately, but from Q2 onwards, it's an integrated company.
Oliver Dorre: I would even add, I mean, part of the post-merger integration and really the successful work we have done with the team, we also moved some business units and so on. So we -- it is hard to identify the ESG structures as part of our Hensoldt 2.0 that we started January this year. I think we would compare apples and peers if we look back into the past structures.
Sebastian Growe: Okay. Got you. And the last question for me is just quickly around the Optronics business here and the South African entity. So I appreciate it's a relatively small business per se. But nonetheless, we have seen orders indeed inflecting quite a bit. I think first half has been around 2x book-to-bill. So my question is simply, when will we really see then also the revenue bit accelerating? And if you could also shed some light around what you expect in terms of the profitability, i.e., when it's swinging back to profit? And could we also think of this business becoming a double-digit EBITDA margin business over time?
Christian Ladurner: Yes. Sebastian, my view on that, let's be careful on that. I think we have outlined that we are carefully rethinking strategic options and they were also in the press. So this is why I'm currently a little bit hesitating to give more details on that. I think the increase in orders was, yes, a good sign, but how it then will reflect in revenues and profitability, let's see. So I'm a little bit hesitating on that to provide more details, I have to say.
Operator: We now have a question from the line of Aymeric Poulain from Kepler Cheuvreux.
Aymeric Poulain: The question is a follow-up on the ESG contribution. So now you don't report it anymore, but could you give us an idea of how advanced you are in terms of extracting the cost synergies that you were earmarking when you made that acquisition? And indeed, just to get a feel for the outlook of the RDT&E market that it serves. Is it the same as it was before the acquisition? Or has it been enhanced by the market size that obviously will be a lot bigger? So that would be the first question. And secondly, you mentioned the opportunity and the size of potential investment that you need to do a bit in working capital or CapEx for capacity and potentially also M&A. So how do you plan to fund it? Do you expect more advanced payments from the German government? Or will it have to come from the cash flow of the group?
Oliver Dorre: So maybe I'll start with the market potential, and then I leave the room for Christian to go a bit more in the number crunching, so to say. Of course, I would, at that stage, definitely say that with the dynamics that we see on the market and the assets and capabilities we have with ESG acquired with ESG, we see strong opportunities as far as market potential is concerned. Three elements that probably as examples, I would highlight. First thing, is the U.S. programs supporting exports. So that's why the tariff discussion and everything we saw recently is, of course, looked at from a German perspective with some question marks and quite critical. But on the other hand, for us, it also bears a huge potential. As you know, we're with ESG heavily engaged in P8 program with Boeing in the F-35s, in the CH-47. And coming back to my visit at the Paris Air Show recently, we definitely see that now the discussion framework with those companies is opening up. and F-127 Lockheed Martin would just be another example where definitely we see a growing potential where we take the commercial power of Hensoldt combined with the capabilities of ESG, where especially also in the maritime domain, where so far we haven't been that strong, we can take a stronger role. Second thing is, of course, the IDEA solutions, which is around our pioneering software-defined defense approach, where also we see a couple of initiatives now under the new procurement plans of Germany where ESG, I would say, is the perfect lead within the Hensoldt organization, combining our products with third-party products. And that is, for example, in the recent cooperation we have started with Quantum, where ESG is now the point of context of bringing Quantum UAV solutions, MOSAIC, their AI stack together with the solutions we have in Hensoldt. And that is the way of business that ESG has been used to, which we can now significantly leverage on. And the last part is probably very fresh, but it's the element of logistics. As you know, also in Q1, we had reported the ZEBEL contract, our support to the German logistics system. As we are discussing a return to conscripts and looking at the scarcity of personnel in the German armed forces, we see a growing discussion on how industry could step in and give logistical support, IT support in kind of shared approaches to the customer. And that is something where also with the capabilities of ESG, we are very well positioned. Of course, all of that, too early to quantify. But qualitatively, it's, again, an opening perspective, which confirms us in really doing this acquisition, which I think can be considered as a very strong success.
Christian Ladurner: Yes, Aymeric, just to add, I think we've outlined in our analyst call when we acquired ESG, this EUR 19 million cost synergies run rate until 2028 and a similar figure for revenue or EBITDA impact from revenues, there we are fully on track, I can say. So when you look at the actual figures, the pro rata figure flows in quite well. And maybe some comments on Operations 2.0 and how we will fund that. I think let's be honest, the situation we currently see, which is very promising is now, I would say, 2 months old. That means when you look at Slide 10 of the presentation, we are now really designing Operations 2.0. And formally, we will kick off this process in September. And then I think around the Capital Market Day, we are in a position to give you some more details on that, how the layout can look like and then also some figures. So this will now last a few weeks. I think the good news is what you also see on Page 10 and what Oliver has outlined that with the recent decision we have taken in the last 2 to 3 years, we are well on track until 2027-2028. That means we have enough time now in the next 6 to 12 months to come out with a good concept and then go in the realization phase that then by 2027-2028, we have the infrastructure in place to have that. And in terms of funding, please be a little bit patient. I cannot comment on that yet because it will also depend on how we model this. Will we have a turnkey infrastructure where we can move on? Will there be investors which are currently asking us to work with us together who fund the infrastructure and we only go in with our technology, then it will be rather different than funding it all on our own. But nevertheless, let's be clear around the Capital Market Day. There will be some more details also around funding.
Oliver Dorre: Maybe to add on this one, we -- last week, I attended a roundtable with Minister Pistorius and roughly 40 leaders of the German industry. That was along the signing of the new planning and procurement acceleration law through the German cabinet. So we expect that law to be endorsed by the parliament after the summer break. And part of that discussion, which, of course, is in a very early stage, the government is also asking, and you also saw that the Minister of Economy, Reiche, is establishing this senior expert group. So part of that discussion is also how could government support. And we made very clear, it's not about loans. I mean, with access to the financial market, and we saw what Christian and his team have achieved, which I think is a very much success. I mean, we made very clear to the government, we need more concrete support. That message is out. And I think also here, we shall expect some contribution. And putting all of that together, I agree with Christian that around the Capital Market Day, we can probably deliver the clear perspective on this one.
Operator: The next question comes from the line of Christophe Menard from Deutsche Bank.
Christophe Menard: Yes. I had 3 questions. The first one is on Optronics and the German entity. The incremental margin that you're incurring on this entity keeps improving, I mean, between H1 and Q1. I mean, I just wanted to understand what -- I mean, if we forget about South Africa at the moment, when do you think we're going to have a good idea of where the margin could stabilize on that? Because I think we had -- you guided us to a progressive recovery in margin in Optronics, but it seems to me that there is a pretty good improvement quarter-on- quarter. That's the first question. The second was on free cash performance. In the number you reported, which was down year-on-year, is there anything that is related to some inventory buildup ahead of the logistics center moves so that we better understand the swings? And the last question is kind of more broader in general. You mentioned at the very beginning of the presentation, the new sales and business development team that has been put in place. I was wondering what is their mandate? I mean, is it chasing export contracts? It seems -- I mean, you always need sales, but it seems that at the moment, order intake will not be an issue for the future. So I was wondering about what was their mandate within the organization for the coming years?
Christian Ladurner: Thanks, Christophe, for your question. So first question, Optronics. Yes, as you say, we are proud that we have this quarter-on-quarter performance. I think we will have this, I would say, underlying performance moving on, but we should not forget that in the second half year, we have now the movement of production from the [ Karl ] site area to the new site. And this could impact, of course, a little bit margins, and this is why I'm still a little bit careful on that. But the good news when you look at how we manage our logistics center that we -- that this margin is diluting that we are contributing. And I was always saying, "Okay, look, last year, we were around 7% in this segment, that a figure around 10% is realistic from my point of view to reach within this segment for this year." Second question, working capital in connection with logistics center. Yes, I would assume that a figure around EUR 20 million is there, which was built up around logistics center on the one hand and some productivity impacts, but this will fade out also during the year as we have seen also in H1. So this is my view on Optronics margins and on working capital.
Oliver Dorre: Yes. So on the new business development team, as a matter of fact, I have to say this is not new in that sense that we are building up a huge force or something like that. It's rather of better orchestrating what we have. And I would -- in explaining what is a task, what is the mandate, I would mention 3 elements. The first one, it's about a new operating model where we manage better our central, which is more about account management, political affairs and so on, our central sales functions with the decentral sales functions, which are in the divisions. So this is a lot about efficiency, but it's also in a growing market environment, managing, orchestrating demand. Where are the priorities? Where do we sell the TRML-4Ds, the various products. We have, of course, the fast, the quick sellers, the ones which go at a level of scale. And then we have others which also need lead time. So that needs some orchestration between the divisional, which is more product project oriented and the central sales, which are managing our customer relations. The second element is the account management. So very clearly, we have identified strategic accounts, and I think we highlighted them. It's about KNDS, it's about Rheinmetall, the big vehicle OEMs; but it's also about shipyards, it's about Airbus, Airbus helicopters. And we put strategic account managers in place, and that is really to nurture those customers, penetrating those customers, which in some parts are only with one product, but we have the possibility to really penetrate those customers with a full portfolio, but it's also shaping our future where we see that those customers are significantly important to shape our product road maps, which so far has been more opportunistic. So it's really an investment into our future. And last but not least, in times where we see this ever-increasing demand where, for sure, and we experienced it earlier this year with the ramp-up of Laichingen, it's also about to manage customer relations and customer satisfaction. To have a close alignment on the delivery milestones in a system that is really under challenge. And here, this account management -- strategic account management will be a strong benefit on how we do our sales and interaction with our customers. And the last one is a regional focus, where now we have agreed on those 5 worldwide regional clusters. And probably coming back to an earlier question of Sebastian on the international business, we see definitely based on G2G agendas, that we -- there is a strong G2D agenda between India and Germany. So I have just recently traveled to India, also did it last year with the Chancellor. So that is really where we are paving the way in a more strategic manner to opening new markets for us. Same applies to Singapore, where we have a strong outlet into the Asia Pacific market. And this is more in a sense of building a sustainable path than now harvesting and getting opportunistic orders in. That's the transfer. And I think that is really about now with the peak that we are expecting to happen in Germany and Europe, that also with the industrial setup that we are building up that we can sustain this growth then with complementing orders coming in internationally, and that's what our sales transformation is about.
Operator: We now have a question coming from David Perry from JPMorgan.
David Howard Perry: Three, please, as well. So sitting here in London, we keep seeing these incredible stories on Bloomberg and Reuters about the number of armored vehicles Germany is going to buy. And I know it's not locked down in law yet, but I think 2 nights ago, it was 3,000 Boxers and 3,500 from Patria, et cetera. Can I just check on these German vehicles, will you always do the periscope, or are you going to have to compete with someone else? That was the first question. The second one is, if it's always hence, and I know you've asked us to be patient about Slide 10, which is a very good slide. But does Slide 10 mean that middle bit, new site Oberkochen, do you need a second Oberkochen to do this would be the related question. And then my third one is just TRML continuing to win orders, the Ukraine one. I think you've talked about going up to 30 units in '27, but any thoughts about potentially how many you could build thereafter '27 on an annual rate?
Christian Ladurner: David, thanks for the question. I shall start with question 2 -- answering question 2 before I hand over to Oliver for 1 and 3. So no, we do not currently see a second site of Oberkochen. We are just finishing the first, and then we will see. So again, here, I think around the Capital Market Day is the right moment to put more figures on the table. But nevertheless, there are 1, 2, 3, 4 ideas already there, but let's see. But I do not think that a second Oberkochen this size and magnitude will be needed. And also in terms of resilience, might be adequate. So here, we will go other ways from my perspective.
Oliver Dorre: Of course, David, now going into all these vehicles, we could spend the afternoon talking about it. But at least I will try to give a shed of light on what is happening. Indeed, we need differentiation. I mean the 8,500, so that's talking about 5,000 boxes and 3,500 from Patria, plus 1,000 Leopards, which are in the room. On top, we have the [indiscernible] and all of that. I think for each and every project -- and that's part of also why we cannot tell you at that stage what is the future ambition, the guidance and all of that because that is what we're still sorting out with the OEMs. What is clear, and that's why we have quite a clear perspective is that for the Puma and the Leopard, we do the weapon sites and the periscopes. And that is clear, that is under negotiation. So that's kind of set. I mean, despite that there is competition on the market in -- with Elbit, for example, Israel; also with Thales, but Thales U.K. rather on these ones. I mean that's really an integral part of the systems. And in that regard, I think we don't have any risk related to those orders. The second element is now the new wheel-based infant refighting vehicle, the Boxer or they call it RCT30. In the past, it was called the PuBo, comes from the Puma and the Boxer because they will put the Puma turret on the Boxer vehicle. Also here, I think as we take the turret from the Puma, our weapon side as well as the periscopes are definitely set. So that is the strong part. Korsak, I think we have mentioned that. That's a new reconnaissance vehicle, where we also see a massive discussion on additional quantities. That is a fully new one where also Hensoldt is now stepping up into bringing all those sensors together. And probably that's a growth area for us in this vehicle market as we go forward because so far, the sensors within the vehicle have been designed for a specific function and purpose. There is hardly any integration on the vehicle between the various sites. And as you can imagine, bringing a good order of battle, a good situational awareness, it would be great if we could combine all those sensors together. And that's actually what we're doing with the Korsak at the moment with our Ceretron software. And the big opportunity is once that is done, given the fact that with several sensors, we are across those platforms, we can then augment and that is a good example for the software-defined defense approach, a communication platform, the C2 computers in those platforms could host that additional software where we could connect those various sensors together. And that's the growing part. And then you have many other smaller vehicles where we see, like, for example, the remotely controlled Howitzer, the vehicle Howitzer where we put driver sites, where we can put see-through armored systems, a new 360 degrees. And all of this is upsell potential across. But again, yet it's across those various vehicle types, a very different maturity of the discussions we are having. If you see the Boxer -- the Puma or Leopard where we have a full visibility. But for all those others, partially, we are also in competition, of course. But I would definitely say in Germany, we have a unique positioning as the national sensor [ house ].
David Howard Perry: That's very clear. And just the last one was the TRML opportunities longer term, please?
Oliver Dorre: Yes. So again, I mean, that's part of the discussion that Christian was referring to. For sure, at the moment, [indiscernible] SE is really lifting up. And I think in some of the previous calls, I told you about a EUR 2 billion potential selling those TRML-4Ds across Europe, which is maturing. Germany, looking what we have under contract so far, we have the discussion. And if we look only at Germany talking as a former Air Defender, of course, not being the military responsible, but I would see a potential between 40 and 60 radars to cover full Germany with air defense. However, this demand is not yet clearly in writing on the table. If we look at what is on the table, I think we're well positioned with what we did with [indiscernible], with the incremental improvement with an annual capacity of up to 30, which is absolutely not only feasible, but which is clearly in the planning with what we have set up. And part of the Operations 2.0 that Christian is referring, of course, we look at what would it need in the sense of augmenting existing capabilities, but also building, extending our TRML-4D production, probably in synergies with other elements. And last but not least, what we as Hensoldt see as a business potential for the future doing build-to-print for radars of Lockheed Martin, we are doing that for [indiscernible] Alta today, we could also consider going into partnerships with other industry and have them build or at least finally assemble our TRML-4Ds. So we have a broad spectrum of possibilities. We, I would say, have a good visibility on the quality of demand, which is progressively increasing, but yet we are not sure on the exact quantities. Once this is clear, we will share one of the other scenarios that I've outlined.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Veronika Endres for any closing remarks.
Veronika Endres: Thank you all for listening today. And as always, should you have any further questions, the IR team is around all day to follow up. With that, have a great day. Thank you, and goodbye.